Operator: Good day, ladies and gentlemen and welcome to the Universal Stainless & Alloy Products Inc. Second Quarter 2018 Conference Call and Webcast. At this time, all participants are in the listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call maybe recorded. I would now like to turn the conference over to June Filingeri. Please go ahead.
June Filingeri: Thank you. Good morning. This is June Filingeri of Comm-Partners and I also would like to welcome you to the Universal Stainless conference call and webcast. We are here to discuss the company’s second quarter 2018 results reported this morning. With us from management are Denny Oates, Chairman, President and Chief Executive Officer; Paul McGrath, Vice President of Administration and General Counsel; and Chris Scanlon, Vice President, Finance, Chief Financial Officer and Treasurer. Before I turn the call over to management, let me quickly review procedures. After management has made formal remarks, we will take your questions. The conference operator will instruct you on procedures at that time. Also please note that in this morning’s call, management will make forward-looking statements under the Private Securities Litigation Reform Act of 1995. I would like to remind you of the risks related to these statements, which are more fully described in today’s press release and in the company’s filings with the Securities and Exchange Commission. With these formalities complete, I would now like to turn the call over to Denny Oates. Denny, we are ready to begin.
Denny Oates: Thanks, June. Good morning, everyone. Thanks for joining us today. Our second quarter performance was driven by several positive factors, continued favorable market conditions, generally broad-based, but certainly led by aerospace. Strong shipment volumes and improving mix, including record premium alloy sales, better price realization, you will note we recently implemented our second base price increase on selected grades and products, improved cost absorption on higher activity levels across all facilities and lower operating cost as we continue to make progress in lowering variable cost per pound through process improvement, controlled spending and targeted capital spending. In combination, these factors translated into continued top line growth, along with expanded margins and strong bottom line growth. Here are some details. Sales of $66.1 million were up 26% from the second quarter last year and up 4% sequentially. Premium alloy sales reached a record $12 million or 18% of total sales, representing an increase of 78% from the second quarter of 2017 and up 2% from the record reached in 2018’s first quarter. Meanwhile, bookings were at record levels in the second quarter and have continued at a healthy pace through July. We ended the quarter with a backlog of $104.2 million, the highest in the past 6 years. Looking at second quarter profitability, gross margin dollars were up 63% from the 2017 second quarter and 26% sequentially. As a percent of sales, the gross margin reached 17.7%, which is the highest level since the first quarter of 2012. Similarly, EBITDA rose 55% year-over-year and 28% sequentially, reaching $11.2 million in the second quarter, yielding an EBITDA margin of 17%. Regarding raw material prices, nickel remained on an uptrend in the second quarter. At June 30, nickel was $6.85 per pound versus $6.08 per pound at the end of the first quarter. Early this morning, nickel was trading at $6.20 per pound. Moly and manganese were off their 2-year record highs, which were reached in the first quarter and scrap and cobalt have generally remained flat. On balance, material costs and material surcharge remain generally in alignment. Second quarter net income increased $4 million or $0.50 per diluted share, including a one-time favorable adjustment recorded in other income of $0.06 per diluted share from a legal settlement. There were additional shares outstanding in the second quarter as well due to our successful equity offering completed in June. Chris will expand on these items during his financial remarks. By comparison net income was $1.2 million or $0.17 per diluted share in the second quarter last year and $2.1 million or $0.28 per diluted share in the 2018 first quarter. Chris will also detail balance sheet highlights, but let me just take a minute now and note that our equity offering marks a significant step forward in strengthening our financial structure. We now have additional flexibility to continue pursuit of our growth strategy and to respond to robust market conditions. Regarding the market outlook, we continue to hold the view that the demand cycle was still in the early innings as borne out by our backlog and bookings and customer purchasing patterns. Drilling down into operating highlights in the second quarter, our vacuum induction melting facility and forging operations in North Jackson continued to achieve record production levels and productivity during the quarter. Shipments from our Bridgeville plant were the highest since the third quarter of 2012 despite the flooding which occurred during June and delayed some shipments. Quarterly production at our Dunkirk facility was the highest on record since the facility was acquired in 2002. A brief update on the $10 million investment in the advanced bar finishing shall be installed at Dunkirk. The equipment is being assembled in the Cleveland area before transshipment to our plant. The project is on budget, so on schedule for an early fourth quarter startup. We are eager to capture the resulting cost reductions, quality improvements, faster cycle times and lower inventory requirements supported by the state-of-the-art operation. We received two approvals from an aerospace customer during the quarter and we currently have 15 products under development. Lastly our precision rolled products group operating out of our Titusville plant generated record sales and record gross profit during the quarter. Among our corporate highlights, we are pleased to welcome Judy Bacchus to our Board of Directors. Judy is Vice President and Chief Human Resources and Corporate Relations Officer of Kennametal. She has filled the vacancy created by retirement of Doug Dunn who had reached the company’s mandatory retirement age for directors. We are also pleased to qualify for inclusion in the Russell 2000 Index in the latest annual reconstitution. Our team has worked very hard to advance our growth strategy despite some sizable industry challenge in recent years that is gratifying to see our progress and promising future again to be reflected in our market valuation. Turning to our major end markets, let’s start with aerospace. Aerospace sales reached 61% of total sales in the second quarter of 2018 that compares to 55% of sales in the second quarter last year and 57% of sales in the 2018 first quarter. Second quarter aerospace sales totaled $40.2 million which is up 39% from the second quarter of 2017 and up 11% sequentially. It included higher premium alloy sales. The aerospace market remains very active with continuing growth in global passenger and air freight traffic further supporting commercial airplane demand. The outcome of the Farnborough Airshow reinforces the strength of that demand. Boeing announced orders and commitments approaching $100 billion from the show for a total of 673 commercial airplanes, which the company noted and I will quote it reflects the continued resurgence in demand for freighters and strong order activity for the 737 Max and 787 passenger airplanes. Boeing also updated its 20-year commercial market outlook at the show which reflects an increase of 4% growth for aircraft deliveries over the 2017 forecast. In other words, Boeing forecasted 42,730 airplanes equivalent to the roughly $6.4 trillion will be delivered over the next 20 years. Airbus reported winning 43 orders or 501 aircraft at Farnborough which is equivalent to roughly $65 million. All of this activity reinforces the announced build rate increases by both airplane makers. Production rates for the Boeing 737 Max were scheduled to increase to 57 per month in 2019 from 52 per month today, while the 787 build rate is set to increase to 14 per month in 2019 from 12 per month this year. Production of the Airbus 320Neo is also set to increase the 60 per month in 2019 from 50 per month currently. Among the engine makers, GE reported the second quarter aerospace equipment orders increased 62% due to the Gen X wins and continued leap engine momentum and that does not include about $23 billion of orders at Farnborough. Honeywell reported 8% higher aerospace sales in the second quarter including strong business aviation, original equipment orders, commercial aftermarket and defense, both U.S. and international. Our team’s takeaway from the Farnborough Airshow was very positive. Our customers reported strong demand growth in the 5% to 10% range year-over-year, while inventories were up only 2% to 4% as evidenced in our bookings and growing backlog. All said, the aerospace market remains very healthy for the supply channel and for Universal. The heavy equipment market remained our second largest market in the second quarter, representing 14% of total sales versus 17% in the second quarter of 2017 and 16% of sales in the first quarter of 2018. Second quarter 2018 heavy equipment sales totaled $9 million, essentially flat with the strong second quarter 2017, but 10% lower sequentially. The main component of our heavy equipment category is tool steel plate sales, which were up modestly from the second quarter last year and up 17% year-to-date reflecting the strong start we reported in the first quarter and continued solid sales in the second quarter. Demand is being driven by resurgent manufacturing sector in the U.S., particularly by healthy automotive production, increasing model changeovers, growth in off-road equipment and mining. Additionally, favorable rulings in the 2017 trade case has leveled the playing field enabled us to gain market share. We anticipate these trends to continue. The oil and gas end market remained our third largest market in the second quarter of 2018 representing 12% of total sales versus 9% of sales in the second quarter of 2017 and 13% of sales in the first quarter of this year. Second quarter oil and gas sales totaled $7.8 million, which is 63% higher than the second quarter of 2017, but 7.5% lower sequentially. To-date sales are up 68% from the same period of 2017, a substantial growth in the first quarter was followed by a very solid second quarter. Industry activity levels are growing in oil and gas as reflected in the Baker Hughes rig count, which was up 10 for June 2018 compared to May and up 125 from the rig count of June a year ago. The gains were also impressive for the worldwide rig count, which was up 56 from May and up 111 from June of 2017. Baker Hughes reported receiving the largest order since 2015 in their oilfield equipment segment, with significant subsea production awards across 6 projects. Offshore drilling has been one segment that has been slow to recover prior to this quarter. In addition to the positive news from Baker Hughes, Schlumberger gave another indication as things seem to be changing for the positive. They reported in their second quarter earnings on Friday that their offshore revenue in North America was up 22% sequentially with new drilling projects in Canada, the U.S. Gulf and the Caribbean. They also reported additional deployment of hydraulic fracturing and directional drilling capacity in North America in the quarter. As we discussed many times before, with the industry and recovery we are seeing attractive oil and gas opportunities as well as new opportunities for Universal resulting from the product capabilities of our North Jackson facility. Power generation has been the weak spot among the end markets for Universal this year as well as for the industry as evidenced by the challenges GE is facing in their power generation business. In the second quarter, our power generation market represented 4% of sales, the same level as in 2018’s first quarter, but down from 9% of the sales in the second quarter of 2017. Power generation sales totaled $2.3 million in the second quarter, which is down 51% from the second quarter last year, but up 2% sequentially. Our power generation sales continue to be mainly to the maintenance market for installed gas turbines as they have been for several years. I can also continue to report that we have not lost market share in the maintenance market, which we expect to continue to drive our power generation sales for the next couple of years until the replacement cycle kicks in. Our general industrial market sales were 7% of sales in the second quarter of 2018 versus 9% of sales in the second quarter of 2017 and 8% of sales in the 2018 first quarter. General industrial sales totaled $4.9 million, an increase of 6% from the second quarter of 2017, but 8% lower sequentially. The main drivers of our general industrial business are our new infrastructure related products as well as our business development activities into such markets as semiconductor, medical and general manufacturing. Overall, we continue to expect growth in these markets in 2018. Let me turn the call over to Chris Scanlon for his financial report. Chris?
Chris Scanlon: Thank you, Denny and good morning everyone. This morning, I will cover our operating results as well as our balance sheet and then conclude with some points summarizing our second quarter equity raise. Starting with revenues and as Denny previously noted, second quarter 2018 sales of $66.1 million were up 3.7% sequentially and up 25.6% compared with the 2017 second quarter. For the first 6 months of 2018, sales of $129.8 million were up 27.9% compared with the first half of 2017. The increase was broad-based with nearly all-in markets contributing to the improvement versus the prior year, both for the second quarter and for the first half as a whole. Gross margin in the second quarter was $11.7 million or 17.7% of sales, up 320 basis points from the first quarter of 2018 and up 410 basis points from the 2017 second quarter. The improvement in gross margin was driven primarily by the realization of manufacturing productivity initiatives, improved operating leverage, cost containment actions and a more favorable product mix. Additionally, our metal costs continued to be aligned with commodity surcharges. Turning now to selling, general and administrative costs, for the second quarter SG&A was $5.8 million or 8.8% of sales, an increase of approximately $640,000 compared with the 2018 first quarter and $1.4 million higher compared to the 2017 second quarter. The increase is primarily due to employee incentive compensation which increased approximately $1.1 million compared to the second quarter of 2017 and $470,000 compared to the 2018 first quarter. Second quarter other income included a gain on legal settlement which totaled $650,000 or approximately $520,000 net of taxes. The legal settlement gain represented $0.06 per diluted share in the 2018 second quarter diluted EPS calculation. Our tax rate for the six months ended June 30, 2018 was 23.7% and included approximately $300,000 of discrete tax expense primarily related to the expiration of fully vested stock options. Excluding the discrete tax item our underlying annual effective tax rate is 19.6%. Net income in the second quarter was $4 million or $0.50 per diluted share, an improvement of $0.22 per diluted share compared with net income of $2.1 million or $0.28 per diluted share in the first quarter of 2018. Our 2018 second quarter earnings per diluted share excluding the previously mentioned gain on legal settlement totaled $0.44 per diluted share. Year-to-date 2018 net income totaled $6.2 million or $0.79 per diluted share and was significantly improved from 2017 year-to-date net income, which was at a breakeven level. Looking at EBITDA, our second quarter EBITDA totaled of $11.2 million, an increase of $2.4 million or 27.6% sequentially and an increase of $4 million or 54.6% compared with the second quarter of 2017. First half 2018 EBITDA totaled $20 million compared to EBITDA of $11.4 million in the 2017 first half. Adjusting for non-cash share compensation expense 2018 Q2 EBITDA was $11.6 million. Please note the EBITDA and adjusted EBITDA calculations are provided in the tables to the press release. Now taking a look at the balance sheet, during the second quarter managed working capital totaled $125.5 million, an increased by $400,000 compared with the first quarter of 2018. The increase is consistent with strong markets and the continuation of improved business activity. Accounts receivable increased by $2.2 million and inventory increased by $5.7 million while accounts payable increased by $7.5 million. The increase in inventory is in direct support of higher backlog which grew by $13.6 million during the quarter to over $100 million, while the increase in accounts receivable is directly attributable to the higher second quarter sales activity. Capital expenditures for the second quarter were $4.2 million with first half capital expenditures totaling $6.6 million. Prior year second quarter capital expenditures totaled $1.7 million with prior year first half capital expenditures totaling $3.1 million. For the full year 2018, we continue to expect our capital expenditures to approximate $15 million. I will provide a brief balance sheet update our Dunkirk bar cell capital project next. You will recall in the first quarter, we utilized the new markets tax credit program to assist in the financing of our mid-sized bar cell capital project at our Dunkirk, New York facility. Utilizing this program resulted in the company recording restricted cash with another long-term asset and amounts within long-term liabilities. Our June 30 restricted cash balance totaled $6.1 million, down $2.2 million from the first quarter. Also we continue to record $2.8 million within long-term liabilities related to qualified investment funds received. As Denny noted, our bar cell project continues to progress well and is expected to be in operation in the fourth quarter. Moving on to debt, the company’s total debt at June 30 stood at $57.1 million, a decrease of $42.8 million from the prior quarter while our debt net of cash and restricted cash totaled $50.7 million at the current quarter end. Our decreased debt level was primarily driven by our equity raise activity within the quarter. Net cash received from the equity raise approximated $32.3 million, all of which will apply to our credit facility. Additionally, the strength of our operations and related net income levels also serve to decrease outstanding debt levels. Next I will summarize our second quarter equity raise activity. On May 25, we issued 1.2 million shares at $24.50 per share. These shares were offered at 12.6% discount to the previous sale date closing price of $20.02 per share. The May 25 equity issuance resulted in gross proceeds of $30 million. Additionally on June 5, the underwriter exercised their option to purchase 184,000 shares which resulted in additional gross proceeds of $4.5 million. In total, net proceeds from our equity issuance after underwriter’s fees and other issuance costs approximated $32.3 million. Note, the equity raise impact to our earnings per share calculation for the second quarter totaled 550,000 shares. Our year-to-date basic and diluted shares outstanding increased by 277,000 shares as a result of the equity issuance. As I noted earlier the funds raised have been applied to our credit facility. This concludes my financial report. With that, Denny I will turn the call back to you.
Denny Oates: Okay. Thanks Chris. In summary then continued favorable market conditions led by aerospace’s strong volumes and mix including record premium alloy sales and better price realization, high plan activity levels and lower variable costs all combined to drive our second quarter performance resulting in continued top line growth, expanded margins and strong bottom line growth. With quarter end backlog of $104 million, the highest level in 6 years and bookings at record levels in the quarter and continue to get a healthy clip in July, we are on strong footing as we have entered the third quarter. We also have made significant progress in strengthening our financial structure with our successful equity offering completed in June. We now have additional flexibility to pursue our growth strategy and respond to robust market conditions. As I said at the beginning of today’s call, we continue to hold the view that the demand cycle is still in the early innings as borne out by our bookings and backlog. Section 232 is providing modest favorable tailwinds along with an element of uncertainty in the marketplace. We will continue to be relentless in pursuing these market opportunities. That concludes our formal remarks operator let’s take a few questions.
Operator: Thank you. [Operator Instructions] And the first question comes from Michael Gallo from C.L. King. Your line is now open.
Michael Gallo: Hi, good morning.
Denny Oates: Hi Mike, how are you? Good morning.
Michael Gallo: I am doing well. How are you? Denny I think the commentary obviously end market demand continues to be strong, we saw that obviously in the bookings and the backlog, but I guess the prior to biggest incremental surprise related to your expectation with the gross margin which seem to be much stronger in the second quarter and sort of got well above kind of the mid teens level you are hoping to get to by the back half of the year, I was just wondering with pricing seemingly continuing to move up, bookings backlog continuing to be strong, would you expect to be able to sequentially improve upon these gross margin numbers in the back half or was the mix just very favorable where it would be hard to improve upon that? Thanks.
Denny Oates: Well, clearly in the second quarter the mix came together very nicely for us along with all the operating issues that I slated. As we look at the third quarter, certainly internally, let’s look at the positives and the negatives. We will continue to have strong activity levels in the plant. We will continue to chip away at cost all which will be positive to the margin. We have some further price increases that we announced late in the second quarter that will start to hit in the third quarter and the fourth quarter, again the positive. We are seeing some cost increases in prior calls. I have mentioned some inflationary trends with things like refractories, just across the board, so you have some negative cost increases just in terms of supply items that will work the opposite way. So net on net, our goal internally is to continue to drive those margins up, the sequential improvement probably will not be as significant as you saw in the first quarter relative to the fourth and the second relative to the first, but there is no reason I think we can’t continue to improve.
Michael Gallo: Okay, that’s helpful color. Thanks.
Operator: And our next question comes from the line of Phil Gibbs from KeyBanc. Your line is now open.
Denny Oates: Good morning Phil.
Phil Gibbs: Hey, Denny. Kind of echoing what Michael just asked on the gross margin side, I know that there was a pretty strong positive inflection in nickel prices to-date you only turn your inventory in the semester maybe a few times a year, 2, 3 times maybe a little bit more about, but not a lot. So just trying to understand how much that timing factor could have been a benefit to you all in the second quarter in terms of nickel having moved up and finally being on the right side of that that the nickel to cost relationship?
Denny Oates: So, the raw material trends have generally been helpful to us. They are going in a right direction kind of a modest improvement net on net, but it wasn’t a big enough positive to call out in our results quite frankly. If you look at the individual pieces of it, nickel did rise during the quarter. Nickel retracted in the early part of July and as far as they come back up the last week or so. So you are seeing nickel cycle around, but nowhere near the level of cyclicality you saw in ‘15 and ‘16 we were seeing 15%, 20% movements in the quarter. So from a nickel standpoint, I view that as relatively stable. If you look at the other commodities, they were actually down during the second quarter or flat. So, all-in there was not a meaningful impact on our margins from raw material surcharges versus melt cost in the second quarter.
Phil Gibbs: As you still have a headwind in the first quarter from this alignment on, because your margins went up, your incrementals went up obviously much more than your sales?
Denny Oates: There was about a $0.5 million negative in the first quarter relative to the fourth as I recall pre-tax.
Phil Gibbs: $0.5 million negative in the first quarter versus the 4% that you signed?
Denny Oates: Yes.
Phil Gibbs: Okay. And then maybe just some color on how we should think about SG&A moving forward a lot, I mean, the gross margins were strong, but SG&A was also very high if this is a new baseline associated with the profitability you are generating right now or if this is something that will be more of the timing issue in terms of your prior 12-month run-rate?
Chris Scanlon: Hey, Phil. This is Chris. I can answer that question for you. I think SG&A levels that we have seen Q1, Q2 thus far, those percentages should progress through the year. The large driver and increase in SG&A is the variable incentive compensation given the strength this year compared to last year, it’s creating an increase in expense in 2018 compared to 2017.
Phil Gibbs: So, we should think about SG&A as a percentage of sales, not necessarily in absolute level moving forward, so this is a good kind of ratio to use right now?
Chris Scanlon: No, I would not use as a percentage of sales, I think just to clarify what we are talking about is the absolute dollar number. If you look at the puts and takes in SG&A this year relative to prior years, the large change far and away is variable incentive comp. As we have talked many times, we don’t have a need to add significant people to our SG&A area in order to continue to grow the business very substantially. The other categories that fold in our SG&A are relatively stable. The big variable there is going to be that dollar amount. So if I was modeling, thus I would take a look at the second quarter and first quarter kind of averages and use that for the third and fourth quarters.
Phil Gibbs: That’s what I needed. I appreciate that. I did have another question, but it is time at the moment. I appreciate it, guys. Thanks so much.
Denny Oates: You are welcome, Phil.
Operator: And our next question comes from Lucy Gold [ph]. Your line is now open.
Lucy Gold: Thank you. Good morning.
Denny Oates: Hi, Lucy. How are you? Good morning.
Lucy Gold: Very good. I wanted to just touch on and I may have missed this, but the implied orders in the quarter was close to $80 million, right and you had made a comment last Q that if you can get to a high $70 million order rate would have been the stretch goal, so it was kind of much stronger than you had anticipated, the ATI commentary yesterday sort of talked about some pull forward in demand, their numbers were also very strong in the second quarter. So, may be if you can tie those comments together and just talk about how Q2 was in terms of orders versus your plans?
Denny Oates: Let me clarify a couple of things. The order entry in the second quarter was $71,600,000, it wasn’t up at $80 million and that was 28,500,000 pounds. If you go back historically we just did this the other day, because we get this question on a regular basis. You look at the end of each quarter and you look at our bookings in our backlog and try and extrapolate what the next quarter is going to be. Generally speaking, if you look at our bookings number that’s plus or minus 5% of what our sales are going to be in the ensuing quarter. That’s been true for the latest couple of years. So I would offer that up to you. It’s not $80 million, it’s roughly $72 million we actually booked in the second quarter and that was a record booking level for us.
Lucy Gold: Okay, that makes more sense. And so does that to some extent help your visibility and you also referred to the time extending right, you talked about favorable setup for Q3, can you maybe just some context on where do you see visibility?
Denny Oates: Well, we have got a very healthy backlog. We have got bookings continued to improve. June was the highest booking month of the year so far and July has continued at a very healthy clip. So we have got a good flow of business coming into the company. We were little light on sales frankly in the second quarter compared to what I thought we would do that had to do basically the two biggest things that occurred then was the timing of some of our international sales. Our international sales were about $4.6 million in the second quarter, which is up 24% year-over-year, but it’s down from the last couple of quarters by about $1 million, so we don’t recognize international sales from a revenue recognition standpoint until it’s received by the foreign location. So there are some timing issues there. And for those of you that live around the Pittsburgh area, you will remember the flooding in the second week of June and the last week of June that occurred, that did have an impact on our lab and limited some of our shipments at the end of the month. So that’s the second quarter. As we look at the third quarter, given the backlog we have to work from, the bookings that we have and where we are at, I would expect that you are not going to see a seasonal decrease like we normally see in the business. There is no reason to think we can’t continue to add incremental growth in our sales during the third quarter and have a 7% in front of the number.
Lucy Gold: Got it. And maybe just to clarify on the lead time extending, is that days, weeks?
Denny Oates: Lead times generally go out by weeks, so you are seeing a general increase in lead time, stretch out in lead times across the industry, mills are busier as we are busy and the lead times are going to go out. As a result of that you see in the marketplace is you do start to see some larger orders come in, customers start to try and make sure they have got capacity reserve that the mills. So, you do see some stretch out in your backlog in terms of how much business customers willing to give you upfront, especially if you compare to 2 years ago when lead times were at historic lows and if you were a buyer, you didn’t really have to worry much, because the mills were hungry and lead times were so short.
Lucy Gold: Right. And given the strong growth in aerospace where you tend to have some of the annual or longer term contacts versus transactional orders, have you seen in terms of your average length of orders also improving?
Denny Oates: We are seeing the average length of our orders improving. We are seeing more desire to come to an agreement for annual or multiple year type contracts even when we announce our service center sales and talk about 60, roughly two-thirds of our sales quarter-in, quarter-out go through service centers. Keep in mind, a lot of times there is probably 19 or 20 instances I can think of where we are working with large major distributors and partner with them on specific pieces of business, where they have the contract, but we also have the supply arrangement. So, not all of our service center business is transactional.
Lucy Gold: Got it. And last question on working capital you have done a good job at maintaining that at the same level was despite the increase in backlog and revenues. Do you see that trend continue and how much improvement do you think the bar cell in essence can attribute to that?
Denny Oates: We feel we can do a much better job on working capital. We look at managed working capital as a percentage of sales. And as Phil Gibbs mentioned earlier, we take a look at how our inventory is turning. That’s the key metrics that we are focused on. The bar cell itself is going to take basically six discrete operations and collapse them into one continuously operating system. So, you can visualize all the Q inventory between those operations previously, will basically go away over the next couple of quarters. So we that facility up early fourth quarter, but into the first quarter, we should have led all that inventory down. That will be somewhere in the range of $3 million to $5 million, a reduction in inventory. In addition to that, that’s not the only thing that we have in our plans for inventory improvement, so the process improvements we are working on to continue to drive the inventory turnover up and the percentage of working capital of the sales down.
Lucy Gold: That’s very helpful. Thank you for your time this morning.
Denny Oates: My pleasure, Lucy.
Operator: [Operator Instructions] And our next question comes from Charlie Smith from Fort Pitt Capital. Your line is now open.
Charlie Smith: Good morning gentlemen. Couple of questions on capacity. My sense is you have got a lot of runway at North Jackson, I was just curious of what’s your excess level capacity is, also any bottlenecks anywhere in the system and also finally what’s your expected CapEx relative depreciation in the next year to 18 months?
Denny Oates: Okay. As far as capacity goes what you are seeing at North Jackson, which was a Greenfield site as you know that we have built about 5 or 6 years ago. You are starting to see the capacity utilization pickup. So, each quarter, we are hitting a new internal record for production, which is a good thing as far as further runway, we have plenty of runway. We are probably running in the range of 45% to 50% of capacity there and with some relatively small capital investments we can expand that capacity in melting at North Jackson. At our other facilities, we are probably running in the 65% to 70% range generally speaking. Bottlenecks, we have some, but they are largely on the finishing end relatively, I would say, easy to fix type things like saws, testing equipment, things along those lines, which we are doing on a real-time basis to make sure we basically break through any anticipated bottlenecks. Perhaps the overarching issue is hiring people and getting them into their shops, getting them trained up so that they can operate effectively and safely in our four operations. So, that’s kind of a rundown on what we are doing from a capacity standpoint. So, we are growing, but we still have plenty of capacity take advantage of further growth. Capital spending this year is going to be in that $15 million to 16 million range. I would think next year would be the same range based upon current planning. We are looking at number of capital projects, which could lead to an increase in that number next year, but nothing that we are prepared to call out at this juncture, Charlie, so for planning purposes I would say $15 million, $16 million in ‘18 and the same number in ‘19 and as you know our network is running about $19 million.
Charlie Smith: Okay, $15 million to $16 million for next year, but stay tuned because there maybe new projects?
Denny Oates: Yes.
Charlie Smith: Okay, great. Thanks.
Denny Oates: You are welcome.
Operator: And we have a follow-up question from the line of Phil Gibbs from KeyBanc. Your line is now open.
Phil Gibbs: Yes, I think so, who knows. The question was just what do you have outstanding on the revolver right now?
Denny Oates: Sure. Thanks, Phil. At June 30, the revolver balance, give me one second, I will get you the good number. Revolver at June 30 was $19.6 million and just for your own and then term loan at June 30 $18.1 million, so senior debt in that $38 million range.
Phil Gibbs: And then secondarily, Denny, you kind of triggered another question when you started talking about some of the international sales, to the extent that some of this business would be going to Europe or other places that have put reciprocal tariffs on U.S. products, have you seen – are you seeing any impacts to your business, impact not in a good or bad way, I mean, you can kind of hash that out, but how are you having to frame some of those orders and who is bearing those tariffs?
Denny Oates: Tariffs are being borne by the importer of record which is not us. We have not had any meaningful discussions with any customers about anything that would change based upon the current state of tariff system and the retaliation and so forth. So, really, it’s been a non-factor so far.
Phil Gibbs: Thank you.
Denny Oates: You are welcome.
Operator: [Operator Instructions] I show no further questions at this time. I would like to turn the call back over to the company’s CEO, Mr. Denny Oates for closing remarks.
Denny Oates: Thanks, George. Once again, I want to thank everybody for joining us this morning. We sincerely appreciate your support and interest in Universal Stainless and we will look forward to updating you on our progress in our next call in October. Have a great day.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. Everyone, have a great day.